Operator: Ladies and Gentlemen, thank you for standing by. Welcome tothe Barrick Gold Third Quarter 2007 Result Conference Call. During thepresentation all participants will be in the listen only mode. Afterwards wewill come back for question and answer session (Operator Instructions). As a reminder, this conference is being recorded Thursday,November 1st, 2007. I would now like to turn the conference over to DeniNicoski, Vice President Investor Relations. Please go ahead sir.
Deni Nicoski: Thank you operator. Good morning and thanks for joining ustoday. I'm joined here by Greg Wilkins, Peter Kinver, Jamie Sokalsky, AlexDavidson and Patrick Garver. Greg and Jamie will review the third quarterhighlights and results and Peter will provide an update on operations. AlexDavidson will give you an update on exploration activities for the quarter, andthen we'll open it up for questions. Before we begin, I will bring to your attention that we willbe making forward-looking statements during the course of this presentation.For a complete discussion of the risks, uncertainties, factors which may leadto our actual financial results and performance being different from theestimates contained in our forward-looking statements, please refer to ouryear-end report or our most recent AFI filing. With that I’ll hand it over toGreg Wilkins, President and CEO of Barrick.
Greg Wilkins: Thanks Deni. Good morning everyone and thank you for joiningus this morning. Well, I must say it's an interesting time to be in goldbusiness as we see gold breaking 28-year highs and has actually breached that$800 mark. So they've made an honest man out of me. It is, thankfully, an interesting time in the business. Weare delighted that we are seeing such robust performance in the gold side, andI think the model for continued strong performance of gold continues to exist.As we talked about in many circumstances, the supply side is constrained, andchallenged. The central banks didn't sell their quotas, and so aren't adding asmuch to the market. Energy and food are continuing to provide inflationaryimpacts. The fed is actually reducing rates in front of an inflationaryenvironment, and we can see continued weakness of the U.S. dollar. And all ofthat continues to bode well for gold, and so we continue to look forward tostrong commodity environment for us. We also see strong copper prices. They have been veryresilient in the mid-$3 range, and that continues to support our financialresults. That said, you know, it's a challenging environment. We're verypleased that our quarter came in pretty much on expectations. Obviously pluses and minuses, but it's the benefit of havinga portfolio, a diversified portfolio where some operations performed betterthan others, and we continue to be able to make our guidance numbers overall. We've actually done Dwight a bit of work in the quarter interms of positioning our portfolio for the future. You've seen ourannouncements this week. We completed actually the purchase of the 20% interestin Porgera, which was previously announced, but we announced the high landpacific transaction and the acquisition of Arizona star, or the bid for Arizonastar, which positions us, again, well for the future. We're also very pleased to be able to have delivered ourgold from our operating mines into the spot market, and so we saw majorexpansion in our margins. We achieved $311 an ounce, and, costs were the sameand we were in the current gold market that would actually be $400 an ounce, sowe'll continue to see, I think, good numbers and good mar against going intothe fourth quarter and into next year. Costs came in pretty much as we anticipated, as wecommunicated earlier. We were new; we were going into a high stripping phase,waist-stripping phase at Veladero and gold strike in particular. And we are nowcoming back and accessing some of the higher-grade ores at Veladero, and Peterwill talk more about that. We now expect production to be 8.1 million ounces at $350 anounce. That's in line with our original guidance, so we've been on track.Obviously, there's lots of risks associated with typical mining risks, and inthe fourth quarter coming up there's a couple additional issues which may ormay not affect our ability to achieve guidance, and notably, the labordisruption we're experiencing, and Veladero and certain cost pressuresassociated with the higher energy prices, something when we put estimatetogether. We were banking on $8 gold and we were banking $93 oil. So,some of cost do have impacts on our overall cost per ounce. We continue to make good progress on our pipeline. Ofcourse, Buzwagi we announced we've made the construction decision andearthworks of commence, detailed engineering, a significantly events then infact we are little bit ahead of schedule and on budget. And after a couple years we'll producing more then 250,000ounces at cost it at about $270 to $280 an ounce. And when we look out into thefuture and we look at costs and the cost prices, it's really the ability tobring these new mines on stream that will have the most significant impact interms of our cost structure profile. And so, virtually all of the costs projects we have in ourpipeline are lower costs than the current level of costs, so that's afundamentally, fundamentally the way that we'll manage the costs down. AtCortez, again, good progress about 90% of the engineering work is complete, andwe're targeting the completion and hopefully the receipt of the recordeddecision in the second half 2008. And production will follow relatively, quickly thereafter.It will take about 15 months because as you know that's really, the developmentof the mining operation since all of the processing and other facilities arepretty much in place. At Pascua-Lama, we continue to work on achieving oursectoral permits. We have increasing activity from the province in San Juan,but there continue to be cross-border approvals that are required. And as we'vesaid consistently and throughout that we're not prepared to make a positiveconstruction decision until we have all of the permits in hand. Excellent progress again on Pueblo Viejo, we are engaged inactive dialogue with the government on a number fronts and really power andwater treatment, a number of the government's contributions to the remediationof the environmental side out there, sort of the topics of conversation, butexcellent cooperation, and we look forward to achieving a positive decision onthat so we can get going on construction relatively soon. At Donlin Creek, we are on schedule to deliver thefeasibility study as we've previously discussed. And we're actually talking tothe NovaGold folks about the appropriate course of action to ensure that we canmake sure that this asset has the best opportunity to go forward. And a little bit of icing on the cake, we were very pleasedthat we were recently included in the Dow Jones Sustainability Index. I thinkthis is a very strong recognition from third parties of our strong commitmentand success in sustainable development. So, with those preliminary remarks, let me turn it over toJamie to comment on the financials.
Jamie Sokalsky: Thanks, Greg. The production and the cash costs for thequarter were in line with our expectations. Production for the quarter was justover $1.9 million ounces at cash costs of $370 per ounce, while our corporateproduction came in at €99 million at €0.91 per pound. As Greg mentioned the higher costs in the third quarter weredue large toll mine sequencing and stripping activities at a number of ouroperations, including Veladero. Earnings were $340 million, or $0.40 a share. Operating cashflow, $557 million, $0.64 a share. Our EBITDA was $710 million or $0.82 ashare, compared to $703 million or $0.81 a share in the prior year. Our year to date adjusted EBITDA is some $2.3 billion. TheEBITDA numbers for the quarter and for the year to date for that matter, Ithink, really highlights the strength of our underlying earnings and cashgeneration potential on a go forward basis. Particularly as the gold price has risen to these 28-yearhighs near $800 subsequent to the quarter end. This cash flow generation reallyhas enabled us to do the acquisitions that Greg mentioned using internal cashresources. Even when you combine the acquisitions of Porgera, HighlandsPacific and Arizona Star on a pro forma basis totaling about $1.2 billion, ifyou subtract the most recent two from our quarter end cash of $2.7 billion,we're still left with a cash balance of just under $2 billion. We also have an undrawn $1.5 billion line of credit, andgreat access to debt capital markets with the industry's only A credit rating.This puts us in an excellent position to reinvest in the business and takeadvantage of any further attractive opportunities to increase our exposure togold on a per share basis, while also leaving sufficient liquidity to build outour project pipeline. This next chart illustrates our cash costs and margins since2002. It really shows the pattern of margin expansion that was only brieflyinterrupted in the first half of 2007 when we eliminated fully our corporategold sales contracts. This trended up sharply again in the third quarter of 2007as we realized an average of $681 an ounce in line with this spot price. As youcan see, our third quarter margin was $311 per ounce, and at current goldprices, we would be realizing a further $100 an ounce or a margin of over $400an ounce. That cash margin is the highest in the company's history.Compared to 2005, this implies a twofold margin expansion. This current highergold price will drive further margin expansion as we head into the fourthquarter. In light of the strong Australian dollar, I would just liketo note that the company is fully hedged on its Australian dollar operatingexpenditures not only for the balance of 2007 at a rate of $0.75, but also for2008 at $0.77 and for 2009 at about $0.78, fully hedged in the next two years.And those rates are about 15% lower than the current spot price. And this isjust one example of how we look at an integrated program to manage and controlour costs. With that I will turn it over to Peter to discuss ouroperating performance.
Peter Kinver: Thanks, Jamie. Our overall third quarter came in most asexpected. However, we did signal to the market that the quarter was going to becharacterized by higher cost mainly due to sequencing and waste stripping. Tworegions North and South America continued to perform well. However, Africa andAustralia had more challenging year. Africa manages to weather and productivity related issuesand Australia continues to be impact by labor cost pressures, which areaffecting the whole industry in Australia. One of Barrick's great strengthsservers the flexibility and Brazilians supported by portfolio mines, absorbedmines specific disruptions or anticipated curve balls. Despite the challenges we have faced, we’ve been face forthis year, we still can expect to end the year at 8.1 million ounces and about$350 per ounce, which is in line with original guidance which is quite pleasingunder circumstances. It's worth remembering that when we started the year, goldwas in the low 600s and oil at $60 a barrel. Where as current levels is nearly$800 an ounce and $90 barrel oil. This escalation in prices thus had asignificant impact on cash costs despite of fuel hedges in place. In our Australia-Pacific region some of challenges thatcompany has been dealing with, proved the slower ramp up of the Granny Smithmine underground and some nagging power restrictions of the Porgera mine. TheAfrica region continues to be affected by the changes to mine plans that wererequired by and the typical failures caused by high rainfall at end of 2006 thebeginning of 2007. But, the situation of North Mara in particular shouldimprove as recently commissioned machinery allows to higher-grade ore access tohigher-grade ore in the final quarter. Subsequent to quarter end we also hadlabor disruption at Bulyanhulu mine, but we all managing the situationparticipated should be back to normal, hope to end in near term. The North American region, had a solid production result of787,000 ounces, hope is the higher cost particularly some of the smaller mines.South America Lagunas, continue to have a great quarter delivering 230,000ounces at $123 an ounce, another strong result from the mine. Finally, we expect to see higher productions in SouthAmerica notably at the Veladero mine where we have gone through a lot of wastebut will be access high-grade ore. At Veladero, you look at the Ferd (ph) youupload, some significant see that, we have managed to go through a large wastephase. We are now moving into the release of some higher-grade ore which willhelp the production in the fourth quarter. In fact, it's very pleasing to see that some of the earlysigns, positive grade reconciliation are coming from the ore that we actuallydid mine in October. I will now turn it over to Alex, to talk about expirationand the assets that we intend to add to the pipeline in connection with the twotransactions that we announced till last week.
Alex Davidson: Thank, Peter. Good morning everyone. Before, I take youthrough the highlights of our current exploration programs I just like to talka little bit about what we fully expect with the latest addition to our onarrival pipeline of development project. As you this week we announced a friendly all cash deal toacquire Arizona star, whose key asset is of course 51% of the Cerro Casaleproject in Chile. One of the world’s largest undeveloped gold and copperdeposits, containing more than 21 million ounces of gold and about 6 billionpounds of copper. We are, of course familiar with this asset and we'refamiliar with the area it's in and it's good to be back there. Cerro Casale hasthe potential to be a large, long-life, low-cost asset in a country with astrong mining heritage in which we already operate. Cerro Casale will play animportant role in our Chile strategy, which is to maximize our exposure to goldin Chile. When this purchase is concluded the project will have twostrong partners with a much greater combined ability to move it forward at atime of strong gold and copper prices. The location of Cerro Casale is shown onthe map you're seeing now. And it should give you an idea of the potential for futuresynergies, power and infrastructure and end processing with our existingoperating mines at Zaldivar, at Veladero and Pascua-Lama gold-silver project. These are forward to enhancing our project pipeline with itsworld-class asset. Certainly fits in well with our strategy of increasingexposure to gold on a per share basis and of creating a company with long-termsustainable reserves resources, production, and growth. Back in North America, we currently have 28 rigs inoperation in Nevada. Now, I'd like to start with Goldstrike and TurquoiseRidge. At Goldstrike seven core holes have been finished from an undergrounddrift from nickel into Banshee deposit. And four other holes are in progress. Results from WestBanshee continue to be positive and indicate increased resource potential whenboth concentrate. With one core (ph) whole and the second 0.58 ounces per tonover 120 feet. Additional drilling will take place next quarter. And theBanshee resource will be evaluate with programs underway at North Post and atDeep North Post still lots of underground opportunities at gold strike. At Turquoise Ridge well four core holes have been completedfrom a new 1400-foot drift, which goes into the North High-Grade Bullion Zone.And results indicate the potential for a new high-grade resource there. A recent hole returned 17 feet being 3.3 ounces per tonwithin a longer intercept of a 113 feet at 0.75 ounces per ton. That's from anarea that's close to existing infrastructure, but is well outside any existingdrilling. It's completely open and at these sorts of grades the ounces can addup very quickly. The 45 Cortez hill or 45,000 meter program of infill andextension drilling continues to confirm the potential of the Lower Zone.Programs almost complete for this year, geological modeling is underway andwe're targeting an inferred resource at year-end. The Lower Zone is currently defined over a more than3,000-foot strike length and now remains open to the south across the SilverFault, which you can see on the slide. And a number of holes have nowintersected mineralization and results are pending. Our 14,500-foot close space underground drill program willbegin in early 2008 from Assay decline, which come in from the north on theslide. These holes will infill the northern part of the lower zone. Nine drillsat Cortez are also testing other target and assay to date have intersectednumerous (inaudible). Turning to the Dominican Republic now, you are seeing a planview of Pueblo Viejo, showing the Monte Negro and Moore pits and the MonteOculto, the discovery zone between them. The Monty Oculto program is 95%complete with over 9,000 meters drilled to date. And overall the results in the Phase II program confirm thecontinuity of the mineralization to the north and south and are extendingpotential to the east. In the red dotted circle that shows Monty Oculto, theyellow holes are current infill drilling following up from Phase I. And we’re still waiting for results on the blue holes. Asyou can see on this section 6,000 north, the infill drilling has confirmed thecontinuity mineralization and some of the intervals are higher grade than thecurrent research. In fact, a recent hole just south of this section returnedtwo significant intercepts of 33 meters grading eight and a half grams and 94meters grading three grams gold. If you step back for a second and look at thisnext slide, you can see the Moore and Monty pits and the outline of Moore and (inaudible)and Monty Oculto for world line. And you'll remember that it was Barrick's exploration newstructural model and improve geological understanding of Pueblo Viejo that wasthe key to the discovery of Monty Oculto, which was announced last quarter. This new model in conjunction now with review of regionaldata has identified three new excellent targets in the near mine area, whichyou can see in the highlighted boxes. In each of these target areas, we'vealready had either mineralized trenches or new drill intersections. And these areas will be fully tested in 2008. At Reko Diq inPakistan, we have completed over 68,000 meters of drilling on the H-15 and 14deposits known as the western porphyries. Results continue to be positive andconfirm the expected grade and continuity of this gold-corp mineralization. Geological modeling has been completed on the H-15, whichholds deposit of the overall resource. And resource modeling is in progressright now on H-14, where drilling has shown higher than average grades withpeak values of greater than a gram gold and 1% copper. We're now drilling at H-13, which sits south of H-14. Andyou will also help the number of portraits highlight in yellow on the map,which indicates this is the scale of the distinct potential. An updatedresource will be available on the western porphyries at year-end. And we expect to be able to significantly increase theexisting resource. A scoping study has also been completed for the westernporphyries and the board has approved for seeking with a feasibility study toevaluate initial 72,000 ton per day operation. In parallel, we're also proceeding with a pre-feasibilitystudy to evaluate expansion options to significantly greater throughputs.Ongoing metallurgical test work continues to indicate promising recoveries andwe've just completed the airstrip on the property. So this one is moving aheadreally nicely. And finally, let's turn to Papua New Guinea and the Kainantuproperty that we acquired from Highlands pacific. Kainantu is located 180kilometers from lye, TNG’s deepwater port, and is on the main road fromPorgera. Access is by paved highway. The mine is certainly struggled to datebut recent management changes have improved performance over the last couplemonths. And with additional development and an appropriate mine planKainantu could actually achieve it’s full potential and contribute additionalproduction for barrack. However we bought this property for the qualityexploration targets and the multi-million ounce district potential. It represents a highly prospective and under exploreddistrict play in one of the world's most highly endowed gold and copperregions. We plan to spend $8 million on exploration on property next year onmore advanced exploration targets in the main line area as well as drilltesting and other prospective target. Also, historical exploration programs have identified anumber of potential prospects for large giant gold rich copper porphyrydeposits in similar settings to giant systems elsewhere. They will be carriedout to identify other targets for drill testing next year and some of thetarget are represented on that map by the orange and yellow dots. And I think you'll be hearing much more about this propertyon future calls. So now I will turn it back to Greg to wrap up.
Greg Wilkins: Thanks, Alex. Basically, we have been working for the lastnumber of years to position the company to be able to prosper in the stronggold price environment, and we're really poised for further margin expansionand profitability in Q4 and then to Q8. But also, and I think perhaps moreimportantly, to be able to sustain production growth and reserve are placedwell into the future. Our strategy is really to increase production and reserveson a per share basis and it's very important last couple transactions we'vedone, we've been able to take the strong cash flow generation and use that cashflow to increase our opportunity for additional gold and to some extent copperthrough new developments going forward. The recent transactions, have really supported that pipelineand I think have continued to keep it ahead of the industry and we continued tohave problems seeing exploration results as Alex has just described, and wecontinued to have a strong outlook for the gold price. We think that the fundamentals are in place for sustainedrally as opposed to a short-term rally. So a lot of the activities have reallycome together to really benefit from this strong gold price environment, and sowe continue to move the company forward to take continuing advantage of that.So with that summary, just like to open it up for questions.
Operator: (Operator Instructions) And our first question coming fromthe line of Chantal Gosselin from Genuity Capital. Please proceed with yourquestion.
Chantal Gosselin - Genuity Capital: Good morning. My question relates to the financials. Whatsignificantly changed in the tax regime from Q2 to Q3? If I look at that time Q2before the currency translation seems that your tax rate was about 30% and youlook at Q3, was only 20%. And what should we use going forward?
Jamie Sokalsky: Chantal, it's Jamie. There are a number of items that arereally benefiting the tax rate. We're getting continued synergies from thePlacer Dome acquisition in a number of areas. And those synergies are helpingto reduce the rate. There are a number of other items that you will see outlinedin the notes to the financials that represented some benefits with regards tothe Canadian dollar movement on some deferred tax assets, and that also helpedto lower the tax rate going forward, tax rate in the quarter. So as a result of it, I think what we're seeing is in termsof synergies and some good tax planning, the tax rate going forward should befairly consistent with what we're projecting for the year in total around that27% level.
Chantal Gosselin - Genuity Capital: So that should be about what we use in Q4 and going forward?
Jamie Sokalsky: Yes.
Chantal Gosselin - Genuity Capital: Okay. My other question relates to exploration. At Cortez,was given in the quarter that you have identified some new target, and that youalready have some mineralized intercepts. Could you give us some color orlittle bit more color on that and what kind of intercepts you have beenachieving so far?
Jamie Sokalsky: At Cortez we have been drilling at what we call Redhilldeeps, and Horse Canyon, and so we're getting intercepts in the range of, letsay at Horse Canyon was 120 feet at point three and 60 feet at point 48. These are just beginning holes. In fact there was hole onein '07 and we're still waiting for results and of course we don’t know angle ofthe continuity these intercepts. So, but there's encouraging intercepts.
Chantal Gosselin - Genuity Capital: And how far is that from the mine? It's a satellite depositor?
Jamie Sokalsky: It's probably three or four kilometers from Cortez pits.
Chantal Gosselin - Genuity Capital: And can you give us some idea how you found those newsatellite deposits?
Jamie Sokalsky: Yeah. It's a combination of geology and drilling.
Chantal Gosselin - Genuity Capital: Are they outcropping or?
Jamie Sokalsky: No, no, these are deeper ones, Chantal.
Chantal Gosselin - Genuity Capital: Okay. Thank you. That's it.
Operator: Thank you. Our next question coming from the line of VictorFlores from HSBC. Please proceed with your question.
Victor Flores - HSBC: Yeah. Thanks. Good morning. I have three hopefully briefquestions. The first goes to costs. I guess as companies start to assess theenvironment they're starting to signal the cost pressures continue to be afeature in the industry and you've indicated higher cost for next year. Would you give us a sense of how much of that some of theindustry specific things that we all know about and how much of it is specificto Barrick?
Jamie Sokalsky: Victor, you're referring to next year's cost?
Victor Flores - HSBC: Yes.
Greg Wilkins: We've had two big pushes this year look at next year's plan.One is obviously the grade. So a lot of effort as being made next year to nothave grade reduction. That's the one key metric. And we have also focused verystrongly on trying to mitigate this impact of inflation. We're certainly not immune from those industry effects, butwe've been working very hard this year trying to mitigate some of those effectsas they flow through to the bottom line?
Jamie Sokalsky: Victor, maybe I can add some, it it's Jamie let me comments,too. We're experiencing the same industry weighed cost pressures in terms oflabor with the gold price up our gold related costs royalties are impactingcosts. Obviously, the fuel price being quit a bit higher ourcurrency hedges, while we're hedged, are slightly higher next year as well, butI think those are going to protect us certainly more than other companies thathave significant currency exposure. So, there's a good portion of those costs are reallyindustry wide costs across the board, and some of that we're able to manage andcontrol, but others we can't.
Victor Flores - HSBC: Great. Thank you. So the second question goes to CerroCasale. I'm sure you've read the feasibility that was published earlier thisyear in much more detail than I have. And I was just wondering what do youthink of that particular document? What do you like about it? What do you perhaps not like asmuch and how much more work needs to be done on this asset before you ear readyto say, okay, this is where it fits into our longer term planning?
Greg Wilkins: And Victor, it's Greg. Let me just deal with that quickly.We're quite familiar with the study and it was done a little while ago, so, weanticipate that there's going to be, somewhat higher capital costs andoperating costs and it will take sometime and I can't tell you exactly, whatthe time frame is at this stage, to actually kind of redo the estimate, and wewould obviously want to sit down with, Kin Ross, our partner and do a jointupdate on that project. We are excited about it in the sense that we think thatlonger term it's an excellent large copper gold project and it's in Chile,which we like and there's plenty of opportunity for synergies with some of theother things we have going in Chile.
Victor Flores - HSBC: Hey, great. Thank you. And then just one quick finalquestion. Relating to another document, which was the Franco-Nevada prospect usand the royalties they have on gold strike? Do you have a pre-emptive right onthose royalties?
Greg Wilkins: We do not have a pre-emptive right on the royalties, no.
Victor Flores - HSBC: Great. Thank you so much.
Greg Wilkins: You're welcome.
Operator: Thank you. Our next question coming from the line of OscarCabrera from Goldman Sachs. Please proceed with your question.
Oscar Cabrera - Goldman Sachs: Good morning, everybody. Just following up on the previousquestion, with regards to Cerro Casale, would you be able to put the projectinto perspective with respect to the project pipeline? Or simple things likeCortez Hills, Pascua-Lama and Pueblo Viejo appeared to be in those things thatwill start around 2010, 2011. Is there a chance that Cerro Casale can fit into thatproject pipeline at the same time or is it too early to tell? And I'llfollow-up with another one if I can, please.
Greg Wilkins: Yes, this is Greg. It is too early to tell. The project had beenpermitted in Chile a number of years ago. It's our anticipation that while weknow that the standards for permitting in Chile have changed since then, so weneed to go back and really review the permitting time line and figure out whatthe best approach should be and once we have the best approach in mind, thenWe'll have a better sense for what the timetable would be. Equally, we have to update the capital costs and operatingcost estimates and consider how the synergies for pascua and Zaldivar can befactored into that so a lot of work to be done. And I think a lot ofopportunity to be achieved.
Oscar Cabrera - Goldman Sachs: Great. Excuse me. I guess the follow-up to that is, you'regoing to have an increased copper production within your assets. Is there apoint where you think of that mix and don't want to bring any more copper intothe mix or is it just a matter of these are attractive projects, they containgold and just go ahead with it?
Patrick Garver: I would think it's really the latter, Oscar. I mean, Biglong life low-cost operations that are primarily gold are what are veryappealing to us. At Cerro Casale the copper enhances the overall value andgives us the opportunity to get that gold out of the ground on an economic basis. So, you know, we're on the mission to continue to expand ourgold portfolio, and if there's copper and other metals that come with that,that's perfectly fine with us.
Oscar Cabrera - Goldman Sachs: Okay. Thanks, Rick.
Operator: Thank you. Our next question coming from the line of JohnHill from Citigroup. Please proceed with your question.
John Hill - Citigroup: Thank you, and good morning. Congratulations on the result,and also for being included in the Dow Jones sustainability index. That's animpressive accomplishment. I was wondering if we could just ask a question aboutcapital allocation. I guess the benefit of the strong margins, looks like moreof that to come, but probably what remains before it, a raft of different projectsand commodities, some very valuable minority interest such as Cortez, big hedgebook liability, and last but not least shareholders, so at least four mainbuckets for that. And we just wondering how shareholders should think aboutallocation of capital in that context?
Greg Wilkins: John, I think, the first those are the four buckets that welook at. The first and foremost is really ability to build out our pipelinewithout equity dilution. The second thing I would say would be to look for accretivetransactions, you know, that we can finance largely with cash. The cash that we're generating here, so that we can increaseour reserves per share and increase our production per share ultimately, andthirdly, we will look at, you know, really distributions back to ourshareholders in the form of increased dividends or, you know, in somecircumstances, share buybacks as you know we're one of the few companies in thegold space to have actually bought back shares. And fourth, and I wouldn't actually include it so much inthe capital allocation question, we are looking to manage our way through theproject hedge book and, conceptually we still value the benefit of using thecorporate or project hedge contracts to support project financing. And, we are looking for ways to augment the price that's inthe book, because it's really that price, I think, which is the principalissue. And there is opportunities to allocate capital for potentially toimprove that price we would certainly consider it, but that would be the fourthone -- the fourth item on the list.
John Hill - Citigroup: Great perspective. Great perspective. If we could justswitch over to Pascua-lama, for moment the language in the press release a bitdifferent than the last few go-rounds. Obviously, a very important project for what it is for thecommodity exposure for its internal relationship to that hedge book should wejust interpret as frustration with the slow pace and complexity of the process,or is there something new we should be to cushion on here?
Greg Wilkins: No, it's the pace for the permitting process, and dealingwith the cross-border issues we're continuing to make progress. I was inArgentina, just a couple weeks ago and met with the governor and the governorhas put a full-court press on getting the sectoral permits out. One of the challenges within Argentina is that it’s arelatively new environment for mining. And so while, we're successful ingetting Veladero up and running in San Juan province, the complexity of Pascuais putting a burden on the regulators. The regulators are very cautious about the amount of workthat goes into achieving those central permits. So we're honestly being held toa higher standard than we've ever seen before anywhere else in the world interms of comprehensive and detailed engineering to support the central permits. And I think, that's caution on the side of the regulatorsand perhaps, the newness with respect to going through some of the issues thatthis project represents. So no we actually haven’t got, it's not an issue of dothey want it. They absolutely do in fact, the governor is pressing for us tomake that construction decision. And we just keep reminding him that we need to have all ofthe things in place before we can make that decision. So, I continue to beoptimistic, but it's difficult to read the time line.
John Hill - Citigroup: Understood. Thanks.
Operator: Thank you. Our next question coming from the line of KerrySmith, from Haywood Securities. Please proceed with your questions.
Kerry Smith - Haywood Securities: Thanks operator. Greg or Peter. Can you give me a big betterhandle on the timing of the feasibility studies for Pueblo viejo? I know thatyou have make yet delivery I think its February of next year, If you could justtell me when you think you might have that document finalized.
Peter Kinver: From a technical perspective, we know we're pretty muchthere. We're really into, making talking to the government about somemodifications to the SLA. We already have a number of sort of power sources andpower potential to generate power there, but some options are more expensivethan other options. It's not a question of can we, it's a question of what's thebest alternative, and we're making very good progress on that. So, you'reright, it is February of next year and undoubtedly to get, I's dotted and T'scrossed with respect to the SLA probably take pretty much into that time frame. But once we get to that point and we bring work with ourgold core partners there to come to a decision, then we'll be able to makeconstruction decision fairly promptly.
Kerry Smith - Haywood Securities: Okay. And you're still thinking around three years to buildthat project once you make the decision? Is that still the rough timetable?
Greg Wilkins: Yeah, rough timetable for that. I mean there's a couple oflonger lead time items, like the autoclaves to get the construction going butfrom a mining perspective obviously, there's a lot of pre-stripping alreadydone was an existing demand. We'll be getting on to some of the remedial work on theenvironment quite quickly. So there is a lot of activity, but it’s going to bethat longer lead-time, and we're looking for ways to potentially bringproduction forward in a state scuba we can't count any of that work at thispoint.
Kerry Smith - Haywood Securities: Okay. And just if I could ask another question on Casale,how long do you think it would it take to actually build out that project fromthe time you actually made the construction decision? Just a rough number.
Peter Kinver: It's the same order of magnitude as the other majorprojects. The projects are actually quite similar in many respects and so it'sthe same kind of equipment that’s necessary, the same similar kinds ofprocessing facilities. The lead times in the industry defining time lines, and wehaven't got into the detail at this stage to really update the assessment forhow long it will actually take but I mean, it's going to be in the same orderof magnitude as the other major projects that we have to build.
Kerry Smith - Haywood Securities: So three years sort of plus, minus would be a reasonable.
Peter Kinver: Yeah.
Kerry Smith - Haywood Securities: And Greg, you talked about having some discussions with Novagold. That you release to government Creek agreement can you elaborate a bit onwhat the context of those discussions were?
Greg Wilkins: I think that both ourselves and the Nova guys recognize thatDonlon creek is a complex, large capital project in Alaska where the permittingenvironment is always subject to challenges, and if we want to make the mostout of Donlon creek. Then we're not going to do that if we continue to sit in alitigious relationship. So, we're really just having discussions with them tofigure out what the best path forward is?
Kerry Smith - Haywood Securities: Okay, and just one last question if I can quickly. ForCasale if you’ve make complete feasibility or update and make a constructiondecision or develop all the decision, what sort of metal prices might youconsider using as it relates to that decision?
Peter Kinver: Again, Mark, it's early. We still have the Arizona bid to complete,and, we need to sit down with Kinross and understand what their perspective isand I think that we'll be looking at, coming to sort of a mutual agreement onall of the assumptions with respect to the project which will include our metalprice assumptions, but it's just too early to say right now.
Kerry Smith - Haywood Securities: Okay. Thanks very much.
Operator: Thank you. Our next question coming from the line of JohnBridges from JP Morgan. Please proceed with your question.
John Bridges - JPMorgan: Hi, Greg, everybody. Another question on Cerro Casale.Corporate-wise, I got the impression that the stake was more the operating oneand the Arizona one was more an investment one. How do you anticipate therelationship going forward?
Greg Wilkins: Well, again, listen, we're delighted that Kinross is thepartner on the project John. As we've look at the underlying documentation herewith the respect to the governance arrange, Government arrangements, frankly,they need to be fully flushed out and defined better. So, at the moment, it's not as well defined as you mightexpect, because I think of the nature of the partners historically, and I don'tthink people had been really planning on how they were going to build it. Theywere positioning themselves, really, I think for a take-out. I don't thinkthere's any magic about that. So, there's some work to do to sit down with Kinross, andwork through know the management issues and work through the structure of theshareholder agreements, and obviously, we know Tey well, and I think Tey andourselves have an aligned interest in terms of developing the project andfrankly, look forward to working with him going
John Bridges - JPMorgan: Have you had any discussions at all so far?
Greg Wilkins: Just a very preliminary discussion with Tey to let him knowthat we had come to this friendly agreement and we've agreed to sit down assoon as the dust settles and talk about how to move the project forward,because to be honest and if we step back from Barrick's perspective. We really enjoyed our relationship with Chile and we've hadgood success in Chile and we want to further that investment opportunity inChile or the Cerro Casale project fits very nicely within our portfolio there,and we just need to figure out how does to bring Kinross into that relationshipand see how they can also benefit from it. But, we've obviously, spoken to the government and this hadencouraging and supportive commentary from the government about thistransaction, and about our Pascua-Lama initiatives. So we feel like this isgoing to be a very important big piece and long-term piece of Barrick'sbusiness.
John Bridges - JPMorgan: Great. Could you flush out a little bit the synergies? We'veheard about water and Powell before.
Greg Wilkins: Can we save that juicy bit for another call, John? Becauseagain, we've identified sort of conceptually where we see plenty ofopportunities, but, we want to do a little bit more analysis and sort of get abit smarter about it before we want to kind of share some of the more detailedthinking.
John Bridges - JPMorgan: Okay. Finally, you said on a previous call you go to hold ofa database and you're looking at gold supply globally coming down 10 % to 15%over the next few years. Have you done any sort of work on that?
Jamie Sokalsky: Yes, we've continued to update that the Jamie, perhaps youwant to share the current thinking, sir.
Greg Wilkins: Sure. John, we continue to refine it talk always going to bea work in progress with respect to new projects that are coming on, and as weget more information about the industry, but nothing is change our view thatgold production is like toll decline to decline the going forward. But it's going to be something that we're going to spend alot of time on understanding, and we'll continue to update our views.
John Bridges - JPMorgan: Okay, thanks a lot. Good luck.
Greg Wilkins: Thank you.
Operator: Thank you. Our next question coming from the line of BarryCooper from CIBC World Markets. Please proceed with your question.
Barry Cooper - CIBC World Markets: Yes, good day, everyone. Just wondering, on what the yourstatements and how do you say that the mining that's and taking place this yearis about 10% below the reserve grade, and I guess one interpretation would bethat, okay, well, it's going to move up, therefore, closer to the reservegrade. But I'm wondering just how much of that under-grading, ifyou want to call it that, is taking place because reserves were done at, say,$500 gold, and your mining obviously, with the context of a $650 to $700 goldprice this year, such that you would be taking stuff that would be below yourcut-off that was used for the reserve grades.
Greg Wilkins: Yeah, Barry, I mean, as we kind of look at from the bigpicture perspective, there is we've said, we've been saying, actually, there'sgoing to be a convergence, because as we do the reserves this year we'll be at$5.75. so let me obviously, mine to more current gold prices, buteven the reserve calculations will be, some lowering of the cut-off grade byvirtue of the higher metal price, probably not that significant actually. I mean, they average the grade is only about, I thinkreserve grade, Peter, correct me if I'm wrong, is about 1.8 grams or 2 grams.So, you can only go down so far before you ear just mining straight dirt andthat’s not very profitable. So, there will be some lowering of the grade but within theportfolio and as we look over next couple years the grade will start to go backup because of these anomalous situations at Veladero and at gold strike. I think, in the latter part of the second half of ‘08, forexample, we start to see the pit generating some higher-grade material at goldstrike, and we'll go through that phase. So there is some variability, as youknow, through the mine plan, and because we have spent all the mining costs nowregardless of whether it's waste or ore, we do have some variability withrespect to the cost structure.
Barry Cooper - CIBC World Markets: Right, okay. Then I was wondering if you could maybe shedsome light on how deep your concern is with respect to proposed changes toroyalty structures in the United States, vis-à-vis changes to the 1872 mininglaw, because after you fair bit of ground that's probably or a fair bit of youroperations aren't on patented lands.
Patrick Garver: Sure, maybe I can answer that. This is Patrick. In the UnitedStates, like in all the countries in which we do business, we monitorcontinuously any potential changes to the law. We're familiar with the factthat a house bill has been reported out of committee in the states and I thinkis going to be the subject of a vote later today. A bill introduced by congressman Rahall. The way the bill isstructured it would have royalty that applies to new mines, then it would havea lower royalty that applies to existing mines. The royalty only applies,though, to mines that are located on public land. For us, gold strike, for example, essentially all theproduction is from private land and the mines that really would be affected bythis bill, if the bill became law, are Cortez and then a little bit at baldmountain, a little bit at turquoise ridge, and even smaller percentage at roundmountain. This bill is really the first step the passage in the house. It willget sent over to the Senate. I wouldn't expect any kind of action this year. And reallyits prospects next year during election year are very uncertain. So it's alittle hard to say at this point in time that there is going to be newlegislation. There's been a bill like this in every Congress for the last 15years, and as you know, none of them have ultimately succeeded. So we'rekeeping an eye on it, but we, at this point in time, are not all that anxious.
Barry Cooper - CIBC World Markets: Right. Okay. Thanks a lot. Just, I guess, being a littleextra cautious. Living in Canada here, where we've seen income trusts betreated differently, as well as Canadian oil sands land there being treateddifferently, and we do know that tax redeems can change almost anywhere, Iguess. Thanks.
Patrick Garver: Thanks, Barry.
Operator: Thank you. Our next question coming from the line of SteveButler from Canaccord Adams. Please proceed with your question.
Steve Butler - Canaccord Adams: Thank you operator. Good morning guys. Just a quickquestion. Jim, the paragraph where you're referring guys to Pascua-Lama, andthe environment approval for new 34 megawatts power plant and the wind farm of20 megawatts, is that all power that would be for both Pascua-Lama/Veladero?
Jamie Sokalsky: Steve, it's just start-up power, really. The total requirementfor the mine will be probably four to five times more than that. So this isreally just enough power to start the mine up and really a look-see to see howeffective it is. If it is very effective we'll look at adding on additionalmodules.
Patrick Garver: Yeah, Steve, actually, what’s we're looking at is the wholeimpact of our carbon footprint and looking for ways to deal with climate changeand energy, and that's kind of an initial sort of introduction into, how wemight improve that, because I think as we look at the business five and tenyears out, energy and energy consumption and carbon footprint are going to bevery significant issues as the industry and our business is very powerintensive, so we're trying to really get on the leading edge of that curve, up,in terms of mitigation projects.
Steve Butler - Canaccord Adams: Right, okay. As I remember, it's quite windy there from timeto time. And just, Alex, for you, at Kanang, am I pronouncing that correctly,the deal with Highlands pacific, that chart you put in front of us on thePowerPoint, if you can elaborate on the Yandera prospect, I assume that's noton your claim block. Is that correct. And then if not, who owns that?
Alex Davidson: No, that's not on our claim block. I can't remember offhandwho owns it. Begins with an M. And it's a copper-only thing that's northwest,as you can see.
Steve Butler - Canaccord Adams: Is it in production, Alex?
Alex Davidson: I think its in development.
Steve Butler - Canaccord Adams: Okay, thank you.
Operator: Thank you. Our next question coming from the line of DavidHawkins (ph) from BMO Capital Market. Please proceed with your question.
David Hawkins - BMO Capital Market: Yes. Good morning. Just following on the Papua New Guineathing, how's the Porgera remedial work going in the pit? Have you worked allthe way through that, and are you accessing the grade of ore?
Greg Wilkins: Yes, Dave. I was at Pit. I was recently out there, and I wasreally pleased with what I saw the guys have done a great job in remediatingthat wall, which, as you said, was basically looking pretty ropey. The weatherhas affected it, and the mudstones were turning literally into muds, butthey've done a great job in removing most of it and are now accessing thehigher-grade ores in the bottom of the pit.
David Hawkins - BMO Capital Market: Have you had any additional thoughts on potential of statedevelopment?
Greg Wilkins: David, you're breaking up.
David Hawkins - BMO Capital Market: I am sorry. Stage 6 development at Porgera. Have you had anyadditional thoughts on that?
Greg Wilkins: We've looked at a stage 6 and stage 6.1 and 6.2 with thecurrent high gold prices. We're looking at a sort of super stage 6, but at alot of issues we have to sort out which would include permitting, or rather thepeople who are living in that area would have to be relocate, etcetera. Sostill a lot of work in progress at the moment.
David Hawkins - BMO Capital Market: Right. And slipping over to Kainantu, do you plan to keepthat in production in the state that you inherited from Highland Pacific?
Greg Wilkins: David, We’ve just sent a team out this week from theAustralian business unit to really answer those questions. They are going tolook at all of the options, keep it going, maybe reduce the throughput, orwhatever, so they're going to take a good look at those various options thisweek.
David Hawkins - BMO Capital Market: Okay. Thank you very much.
Greg Wilkins: I think that we're sort of running a bit long on time.Perhaps if we could take one more question, operator, and then if we've missedany questions, just invite folks to gives a call or give Denny a call.
Operator: Thank you. Our last question coming from the line ofChristian Motang (ph) from CIBC Capital. Please proceed with your question.
Steven Kenzie - CIBC Capital: Hello, gentlemen. Actually, Steven Kenzie (ph). I Justwanted to know, can give us update on the Dee property, year or two ago you hadsome good results there. I was just wondering how things are going at thispoint.
Greg Wilkins: Dee, or, has now been handed over to the mine group. They'recompleting a feasibility study on that at the moment, Peter you want to…
Jamie Sokalsky: It's basically high grade, but the grades hack high enoughto support an underground operation, so it's early stage, but looks promising.But it's not big.
Greg Wilkins: Steven, is that it for your questions?
Steven Kenzie - CIBC Capital: Yes, okay, thank you.
Greg Wilkins: Okay. Steven, thank you. And thanks, everyone, for joiningus this morning, and as I said, if there's any further questions, Denny cancertainly get back to you, and we'll be more than happy to answer them as bestwe can.
Operator: Ladies and gentlemen, that does conclude the conference callfor today. We thank you for your participation and ask that you pleasedisconnect your lines. Have a great day.